Operator: Ladies and gentlemen, at this time I would like to welcome everyone to the Resideo Technologies Second Quarter 2023 Earnings Conference Call. Today’s call is being recorded. All participants will be in a listen-only mode until the formal question and answer portion of the call. [Operator Instructions]. Thank you. It is now my pleasure to turn today’s call over to Mr. Jason Willey, Vice President of Investor Relations. Mr. Willey, you may now begin.
Jason Willey: Good afternoon, everyone, and thank you for joining us for Resideo’s second quarter 2023 earnings call. On today’s call will be Jay Geldmacher, Resideo’s Chief Executive Officer; and Tony Trunzo, our Chief Financial Officer. A copy of our earnings release and related presentation materials are available on the Investor Relations page of our website at investors.resideo.com. We would like to remind you that this afternoon’s presentation contains forward-looking statements. Statements other than historical facts made during this call may constitute forward-looking statements and are not guarantees of future performance or results and involve a number of risks and uncertainties. Actual results may differ materially from those in the forward-looking statements as a result of a number of factors, including those described from time to time in Resideo’s filings with the Securities and Exchange Commission. The company assumes no obligation to update any such forward-looking statements. We identify the principal risks and uncertainties that affect our performance in our annual report on Form 10-K and other SEC filings. With that, I will turn the call over to Jay.
Jay Geldmacher: Thank you, Jason, and good afternoon, everyone. We reported Q2 revenue and operating profit within our original range despite the ongoing challenging residential market. We continue to make progress on an important long-term value drivers, and our pace of new product introductions is accelerating. In the first half of this year, we introduced new products enhancing our video capabilities in security, expanding our connected water leak portfolio and growing our presence in the European heat pump market. We are continuing to reduce our cost structure and have further actions identified for the second half of 2023 that combined with our Q4 2022 program are expected to generate at least $115 million of annualized savings. Cash flow improves substantially in Q2 and we expect continued improvements as 2023 progresses. Soft end market demand and excess channel inventory levels and a number of our markets impacted second quarter results. And we expect these headwinds to continue in the second half of 2023. In a response to slower demand, we are taking additional actions to cut cost with a focus on structural improvements that are designed to create leverage when market conditions improve. At the same time, we are progressing on additional portfolio and factory optimization actions within Products & Solutions. And I look forward to sharing more details on several of these actions before yearend. We also announced today, that our Board of Directors has approved a 150 million share repurchase authorization, both management and the Board see substantial opportunity for value creation at Resideo through continued operational transformation and the ability to deliver strong and consistent cash generation, we do not believe our current share price reflects these dynamics or our unique relationship with the [technical difficulty] and the long-term opportunity to leverage this across the markets we serve. We see share repurchase as an important part of a balanced capital allocation plan that includes organic and inorganic investment in the business. Our current liquidity position is strong. And our current leverage level is consistent with our long-term target. Turning to the businesses. Products & Solutions’ general market conditions remained challenging during the second quarter, with slower retail traffic, continued excess inventory in our HVAC distribution channel and reduced new and existing home sales impacted by higher interest rates. These dynamics negatively impact to both volumes and mix. Demand in the HVAC market was further impacted by cool spring weather across much of the US. Our price realization remained strong, and while slowing demand likely means incremental price opportunity to be more limited. To-date, we have a good success of holding price across most categories. While US residential new construction activity is down double-digits compared with 2022, we are adding content in this important market. In Q2, our average product dollar content for new home grew by over 15% year-over-year driven by increased penetration of our smoke and co detector portfolio into the homebuilder channel. This is a great example of execution on the value creation opportunities of bringing First Alert under the Resideo umbrella. First Alert had a solid Q2 with total sales up sequentially year-over-year. We continue to see progress on supply chain and sourcing fronts, with much lower broker buy activity compared to last year. We also realized $30 million of year-over-year freight savings and have aggressively managed our variable labor costs at our factories. Our new product introductions are going well. We have more in the pipeline. The First Alert video doorbell and First Alert branded Wi-Fi Water Leak Detection and Shutoff Valve have established themselves in the market and garnered positive initial market feedback. In the second half, our plans include the introduction of the new outdoor security camera, adding to our First Alert Water Leak Detection offering and continuing our work with a number of heat pump OEMs. Additionally, we’ll be launching new First Alert’s Smoke and Fire Alarm products compliant with the upcoming UL 8th Edition release. ADI’s second quarter revenue was essentially flat compared with Q2 2022. ADI continues to execute and expand its e-commerce and touchless sales. ADI saw continued softness in residential AV and security categories, while commercial categories showed more stability led by continued strong growth in access control. With that, I will turn the call over to Tony, to discuss second quarter performance and 2023 outlook in more detail.
Tony Trunzo: Thank you, Jay and good afternoon, everyone. We reported consolidated second quarter revenue of $1.6 billion, a decline of 5% compared to the record levels experienced in Q2 last year. Compared with Q2 2021, revenue was up 8% and has grown at a 7% compounded annual rate since the second quarter of 2019. Operating income for the quarter was $153 million compared to $186 million last year. Fully diluted earnings per share were $0.34 compared with $0.63 last year. And adjusted EBITDA was $149 million compared to $180 million a year earlier. Q2 cash from operations was strong at $121 million compared with $35 million last Q2. We expect improvements in working capital will enable us to generate at least $280 million the cash from operations for the full year of 2023. Over time, we expect inventory turns to be the largest driver of improved working capital. The pace of progress on inventories should accelerate in 2024 as we manage through committed inventory related to agreements signed during the tighter supply environment. Ultimately, we expect Products & Solutions’ to reduce their inventory days from the current level in the low 90s to a target of around 70 days, which, if successful, would generate approximately $150 million in cash. We expect cash from operations in 2023 to be affected by approximately $25 million of cash restructuring charges. Products & Solutions’ second quarter revenue of $677 million was down 11%, compared with record second quarter 2022 performance. Compared with Q2 2021, revenue was up 13% and has grown at a 6% compound rate over the past four years. Price realization added approximately $30 million to revenue year-over-year that was more than offset by a 15% decline in unit volumes. Along the retail traffic, accelerating efforts by our HVAC distribution customers to reduce inventory levels and weak OEM volumes for furnace and boiler components all contributed to the unit volume drop. Also impacting Q2 performance was less favorable weather across major markets in the US and continued challenges in our traditional security markets. Sequentially, Products & Solutions’ revenue was up 3%, primarily driven by growth of smoke and carbon monoxide detector products. Products & Solutions’ gross margin in Q2 was 38.3%, up 100 basis points from last Q2. The increase reflects more favorable freight, raw material and component costs, partially offset by the impact that reduced volume on fixed cost absorption, lower air products sales and unfavorable mix within energy products. Total operating expenses for Products & Solutions were flat year-over-year, as cost reduction efforts offset labor and services inflation and continued investment in software development. Products & Solutions’ operating profit was $128 million or 18.9% of sales, compared with $154 million or 20.2% of sales last year. ADI Q2 revenue was $925 million, essentially flat to the prior year. ADI revenue has grown at a 7% compound rate over the past four years. Growth in North America of 2% is offset by declines in EMEA as well as the sale of our India operations in late 2022. We saw strength in the access control category and continued softness in residential intrusion and AV categories. ADI gross margin in the second quarter was 19.2% compared with 20% last year when we saw the peak impact of transitory and inflationary pricing benefits. We believe the margin levels we have seen over the past three quarters are sustainable, driven by pricing optimization, exclusive brands and growth in touchless sales. ADI operating profit of $79 million was down 8% compared with record performance in the prior year. During the second quarter, ADI initiated restructuring activities, including targeted headcount reductions and slowing investment spending. This resulted at a $2 million charge to our Q2 results. Second quarter corporate costs were $54 million, flat with the prior year second quarter. Consistent with external forecast and indicators, we expect residential market conditions to remain soft for the remainder of 2023, with continued year-on-year volume declines creating both revenue and margin headwinds in our Products & Solutions business. As a result, we are taking additional aggressive action to reduce costs. We anticipate taking a restructuring charge of at least $25 million in Q3, with actions across the company that are expected to generate additional and year savings of at least $15 million and $45 million on an annualized basis. For the prior-year first quarter. Excluding $10 million of one-time First Alert transaction costs in Q1 2022, corporate costs were flat year-over-year. For the full year we now expect revenue to be in the range of $6.19 billion to $6.29 billion, implying revenue down 2% at the midpoint. Consolidated gross margin is expected to be in the range of 26.2% to 27.2%, and operating profit is expected to be in the range of $530 million to $570 million, including $29 million of restructuring charges. We expect GAAP earnings per share to be in the range of $1.15 to $1.35 and non-GAAP EPS to be in the range of $1.29 to $1.49. Adjusted EBITDA is expected to be in the range of $538 million to $578 million for 2023. For the third quarter, we expect revenue to be in the range of $1.515 billion $1.565 billion. Consolidated gross margin in the range of 26.1% to 27.1% and GAAP operating profit in the range of $105 million to $125 million, including $25 million of restructuring costs. We expect GAAP earnings per share of between $0.14 and $0.24 and non-GAAP earnings per share of $0.27 to $0.37. Adjusted EBITDA is expected to be $124 million to $144 million. In February, when we provided our annual outlook, we noted that 2023 presented unusual market factors that made forecast challenging. And that we respond to market dynamics by managing costs to preserve margin, while continuing our focus on new product initiatives and overall transformation. The cost actions we took late last year combined with our planned Q3 actions are in response to this dynamic. In aggregate, we expect these programs to generate at least $115 million in annual cost savings. We are also focused on achieving greater functional efficiency and anticipate further savings beginning later this year as part of that process. As Jay noted, we are also pursuing larger projects around portfolio optimization and manufacturing efficiency. While the timing of any individual project is difficult to predict, we hope to have further news on both fronts during Q3. Additionally, as a component of our budgeting and strategic planning work this fall, we anticipate being able to provide updated long-term margin frameworks to both of our businesses. I will now turn the call back to Jay for a few concluding remarks before we take questions.
Jay Geldmacher: Thanks, Tony. We responded to challenging market conditions by cutting cost, improving cash flow and continuing the focus on new products and building strong relationships with customers and partners. We believe these activities will have a meaningful impact on performance and margins as market conditions improve. We remain focused on our long-term vision of helping create a world with homes and buildings are good for the planet and where technology works to simplify everyday life. To accomplish this and drive value for our stakeholders, we will continue to leverage our unique position with professional contractors, our unsurpassed residential product breadth and our leading ADI distribution platform. Thank you to the entire Resideo team for their continued focus and commitment to delivering for our customers. This conclude our prepared remarks. Operator, we are now ready for questions.
Operator: [Operator Instructions] Your first question is from Erik Woodring from Morgan Stanley. Your line is open.
Unidentified Participant: Hi, thank you. This is Maya on for Erik Woodring. Just as my first question. How should we think about kind of the timing and cadence of the inventory – that channel inventory work done? As I know you mentioned like those challenges show persistent till yearend, but, is there something that you kind of think will be back to normalized levels by yearend?
Tony Trunzo: Hi, Maya it’s Tony. Thanks for the question. No I don’t – we’re – our target for inventory levels in the Products & Solutions business is 70 days. We’re currently running in the low 90s and to get from where we’re to that target is going to take some time for a couple of reasons. The first is, during the pand – or during the supply chain challenges, to secure supply of certain components we entered into some agreements that we’ll continue on through this yearend and into next year with firm commitments. So we’re going to have an inflow of some of that inventory that we had committed to. It’s all going to be good inventory, because these are longlived products and we’ll eventually use it. But we’re going to have inventory flowing in at the same time that we’re seeing volumes decline. So the recovery to that and improvement to that target is 70 days is going to carry us, it’s hard to say exactly how long, because it’s going to be dependent on how quickly our volumes rebound, but it’ll be well in the 2024 before we get to those kind of levels.
Jay Geldmacher: Yeah and I would add. And Tony said it already that you know the target of 70 that we laid out there, I think is very doable. You know at this time, it’s hard for a lot of people to project exactly in terms of some of the market recovery. But we have you know specific teams on this, to manage this and manage this down and we feel good that we can move the ball forward to that target that we’ve laid out. And just to give a little more clarity in terms of what Tony said. In most companies that we’re buying electronic components during the very severe supply chain problems, had to enter into a variety agreements to guarantee supply. And as you guys have heard in our past earnings call, I think we did a very, very good job, have been able to do that as we were you know moving through probably one of the worst supply chain periods any base experience in you know 50 years. So, we know what it is. I think we know how to manage it, is tied to our managing that as well as the market beginning to recover.
Tony Trunzo: I guess one other thing I should say since I focused the answer on P&S. And I – we should address it globally. ADI runs inventory in the low 60s days range. It did spike up in Q1 of this year. It has kind of come back down pretty close to where we ultimately expected to be in the low 60s and that’s a balance for a distributor between you know how much inventory they want to carry, the commitments they want to make in terms of on time delivery and that sort of thing to their customers and we’ve spend a fair bit of time talking about where we want inventory levels to be vis a vis our service levels and objectives with our customers and that level which we’re getting close to today is pretty much where we’re getting close to today is pretty where we’re going to you know where we think we’re going to set.
Jay Geldmacher: They saw it also from not all, but most of their supply chain issues with some other primary suppliers there still a few lingering one but it’s much better than it was.
Tony Trunzo: But there’s you know we feel like there’s potential $150 million of cash that can be released from P&S inventory as we get down to that 70 day level.
Jay Geldmacher: Exactly.
Unidentified Participant: Okay, thank you. And then just one quick follow-up question. I know we’re seeing the benefit of the pricing actions taken entire quarters. And you guys talked about some further cost actions as we look to the rest of the year. But how should we think about additional pricing power as we look into the back half of the year? Is there any room there or do you kind of expect phase levels to hold?
Jay Geldmacher: Well I guess the good news is, we have seen pricing hold by and large which we expected but that’s definitely been the case. In terms of additional pricing actions, it’s going to be pretty limited obviously have soft volumes you know the market dynamics of that the inflationary pressure that drove a lot of price increase have abated. So our outlook doesn’t contemplate meaningful additional price action at this point.
Unidentified Participant: Okay, thank you.
Jay Geldmacher: Thanks, Maya.
Tony Trunzo: Thanks, Maya.
Operator: Your next question comes from the line of Brett Kearney with Gabelli Funds. Your line is open.
Brett Kearney: Hi, guys. Thanks for taking the question.
Tony Trunzo: Of course.
Brett Kearney: The First Alert was you know a strong point in the quarter. Just curious can you provide more color on some of the initiatives you’ve been executing there for deeper penetration of the builder channel? And also maybe potential for broader pull through other parts of the Resideo portfolio into that channel over time?
Tony Trunzo: That’s great question and you’re right. We had some really nice wins with the – in the R&C channel with First Alert. We’ve added several exclusive agreements with pretty meaningful homebuilders and that’s added to our content. Our R&C went up about 15% in the quarter and there’s real momentum there. There’s definitely more to go with respect to First Alert, but your question about pull through is super important, because those First Alert products gave us entrée and sort of a right to engage with the homebuilding community in a broader and deeper way. And I would say we’re just underway with some of the momentum that would be related to that. It’s given us an entrée much in the same way as it has in retail where we were President in retail, we’re very pretty good we thought that retail, but you know they work at different level and we really get the benefit.
Jay Geldmacher: And I would agree, I’d add couple of things that’s increased our content with that edition and the fact of our brand if I just talk about our brand ambassador program that deals a lot with the R&C market as well as other places but the R&C in particular and so we had new wins have been able to – we generated there with the expansion of First Alert products with that. So it’s really got some great pull through as well as we continue to expand our total ecosystem and what we can offer as part of the content, we can tie things in with smoke and CO and then it gives all our from a technology standpoint other opportunities of what we can add to products as we move forward.
Tony Trunzo: And operator, if I may. Apparently we answered an asked question by Maya, when we were talking about our inventory levels. See I think the question was really on channel inventory and when we would see the channel inventory levels begin to normalize. And I would tell you that our outlook – their outlook similar to what I said with respect to our own inventory, our outlook for – our expectation is that channel inventory does not go down meaningfully in Q3. It’s a little hard to tell what’s going to happen in Q4. But you had meaningful declines in sell through which is you know even through dollar inventories may be coming down a little bit. The days are going up, because the sell through and the volumes are still negative. It’s going to take a point for that to turn before we’re going to see – we’ll have to see the sell through go positive and then sort of work down to inventory levels that they feel, they want to target before we actually start to see our sell through – sell in improve.
Jay Geldmacher: And back on with Frank [sic - Brett]. Frank, did we fully answer your question there about First Alert? I think Frank dropped.
Tony Trunzo: [inaudible].
Operator: There are no further questions at this time. I would now turn the call back to Mr. Jason Willey.
Jason Willey: I thank everyone for their participation today. And we look forward to speaking with you in the coming days and months. Have a good rest of your day. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating. This concludes today’s conference call. You may now disconnect.